Michael Polk: So with that, I think that's our last question. Just a couple of comments. One, we believe we're right in the right place to be delivering the 3% to 5% second half core growth forecast and guidance we've given. We'll stretch ourselves towards the high end of that delivery. There are 3 important issues that we need to deal with in the back half of the year, and you just need to recognize them as you do your models: Baby & Parenting, the consumer takeaway at back-to-school, and our ability to deliver the volumes we've forecasted in our Rubbermaid Consumer business in the context of the price increases we've taken. I will, over the coming months, take the opportunity to talk to you about the path forward and appreciate your patience in waiting for that as I make sure I upload all the insight I possibly can from folks that have been involved in putting the company in the position it's in today to really move on to the next phase of the story, which is to unlock the full growth potential of Newell around the world. So thanks, and we'll talk to you soon.
Operator: If we were unable to get to your question during this call, please call Newell Rubbermaid Investor Relations at (770) 418-7075. Today's call will be available on the Web at newellrubbermaid.com and on digital replay at (412) 317-0088 with an access code of 452013, starting 2 hours following the conclusion of today's call and ending August 13. This concludes today's conference. You may now disconnect.
Operator: Good morning, ladies and gentlemen, and welcome to Newell Rubbermaid's Second Quarter 2011 Earnings Conference Call. [Operator Instructions] Just a reminder, today's conference is being recorded. A live webcast is available at newellrubbermaid.com on the Investor Relations home page under Events and Presentations. A slide presentation is also available for download. I would now turn the call over to Nancy O'Donnell, Vice President of Investor Relations. Ms. O'Donnell, you may begin.
Nancy O'Donnell: Great. Thank you. Welcome, everyone, and thank you for joining us for the Newell Rubbermaid second quarter conference call. On the call, in addition to myself, are Mike Polk, our President and Chief Executive Officer; and Juan Figuereo, our Chief Financial Officer. The conference call today will include forward-looking statements. These statements are subject to certain risks and uncertainties that could cause our actual results to differ materially. And therefore, we direct you to the cautionary statements in the earnings release and in our most recent 10-Q and other SEC filings. The company undertakes no obligation to update any such statements made today. In addition, we will discuss certain non-GAAP financial measures. Management believes that these measures enable investors to better understand and analyze our ongoing results of operations. I would like to note that we have posted schedules in our press release and on the Investor Relations section of our website at www.newellrubbermaid.com that reconcile these non-GAAP financial measures to the comparable GAAP measures. With that, let me turn it over to Mike Polk for his comments.
Michael Polk: Thank you, Nancy. Good morning, everyone, and thank you for joining us today. First, let me say that I'm very pleased to be here, and I'm excited about joining the company at this important moment in time. The team has done an outstanding job over the past few years transforming Newell Rubbermaid into a more competitive company. I want to thank Mark Ketchum for his determination to build a brand-led company and for the work he and the team did tackling the costs, capital structure and portfolio issues the company faced. We're positioned for growth. My job will be to write the next chapter, a chapter that I believe can end with Newell Rubbermaid being a bigger, faster-growing, more profitable, more global company. There's significant upside for us to unlock, and I'm confident we have the people, the brands and the resources necessary to capture it. ] I'll talk more about our path forward at a future date. Today, I want to focus on the Q2 results and provide more clarity with respect to the guidance for the balance of the year. Of course, at the end of our prepared remarks, Juan, Nancy, and I are happy to answer any questions you might have. I spent the first couple of weeks with the team understanding the current state of play and have a good sense of where the opportunities and the risks are in the business. Of course, I was not starting from scratch as I've been a board member since November of 2009. To be clear, there's some revisions to be made to guidance to balance the risk profile in the second half of the year and to set 2012 up for success. In my opinion, they're not major changes, but are appropriate given the challenges in 1 or 2 of our businesses and the need to continue to invest in the long-term growth of our categories. So let's dive in. I'll focus first on our second quarter headlines and performance highlights, and then outline our expectations for the remainder of the year. As you'd expect, Juan will then go into more detail on the numbers. Overall, our second quarter core growth was in line with the expectations we communicated in early June, although the profile of delivery was different from what we forecasted. Baby & Parenting continued to underperform, and the Tools, Hardware & Commercial Products group delivered very good results, with overall core growth of nearly 9% and double-digit core growth in Commercial Products and Industrial Products & Services. Total Q2 sales grew 5.1% on a reported basis with core sales growth of 1.9%. Gross margin was 37.5%, largely in line with expectations, but down 175 basis points versus last year's onetime benefit-driven high of 39.3%. Normalized EPS is $0.46, $0.04 above consensus but below the $0.51 delivered in Q2 2010. We made good progress during the quarter in a number of our businesses, and our brand-led growth agenda continues to gain traction in the marketplace. Six global business units delivered core sales growth greater than 5%, with 3 of those 6 delivering core sales growth greater than 10%. In Asia-Pacific, core sales grew a strong 17.2%, and in Latin America, core sales grew 10.4%. Our innovations, marketing programs and customer initiatives are making an impact. Paper Mate is gaining share behind new awareness programs and strong innovations like our low viscosity ink innovation introduced in Latin America. Sharpie is gaining share with innovations on pens and pencils and our new Start with Sharpie campaign. As an aside, if you have a few minutes, check out Sharpie's new website at sharpie.com and our new webisodes on Sharpie's YouTube channel. Office Products was recognized by Walmart in the supply chain area as the 2010 Collaborative Vendor of the Year, an award given to the best provider of customer service in our peer group. Rubbermaid Consumer is growing share in Food and Beverage, with the launch of Glass Easy Find Lids, and also in cleaning, with our Reveal Spray Mop innovation. Calphalon was named 2010 Vendor of the Year at Target for the work that team has done to unlock category growth with the Target guest. Levolor has expanded the number of SmartSide in-store machines at Lowes, leading its great incremental consumer sales and improved customer productivity. Fine Writing is growing nicely with the launch of Parker Sonnet and Waterman Pure White collections and the opening of our 400 luxury shop-in-shop in China. Our Lenox industrial saw blade business is accelerating growth, leveraging the significant infrastructure investment being made in Asia, as the trend to urbanization continues with our new Q88 band saw blade. And our Commercial Products portfolio is being deployed into high-profile, high-traffic venues. Every time you travel through Heathrow or any other airport in the world, you should increasingly see that bright yellow bucket with the red Rubbermaid logo, or our new Rubbermaid HYGEN Clean Water System, with a built-in filtration device that cleans the water, improving maintenance staff's productivity and reducing water and chemical usage. These are all important and strategic initiatives that are landing with impact. With this progress, you'll ask why are we not delivering more consistent growth. The answer is straightforward. These good results have been tempered by 3 challenging dynamics. First, continued tough macroeconomic and related consumer confidence issues in the U.S. and Western Europe are affecting category growth rates across many of our businesses. As a result, our core sales in the combined North American and EMEA regions increase only 0.5% in Q2. Second, consumption volatility related to inflation-driven price increases across much of our portfolio has had an impact on volume in some businesses. Prices are being passed through to consumers. But as expected, we're seeing negative volume impacts. We've taken steps to establish what we believe is the right relationship between price and volume. However, we'll not get complete clarity on whether we have that equation in balance for another few months, given consumer purchase cycles. In the short term, the volatility has been a core growth negative versus prior year, but this challenge could very well break positive as we move forward. Our Rubbermaid Consumer global business unit has taken some of the most significant price increases this year, given resin costs, and core growth has declined about 1% in the first half of 2011. The final and most challenging issue that has tempered the momentum in some of our other businesses is the continued underperformance in our Baby & Parenting global business unit. Baby & Parenting core growth declined about 12% in the second quarter and on the first half. Excluding Baby & Parenting and Rubbermaid Consumer, our core growth in the first half of 2011 was nearly 3%. So what are the implications going forward? I believe our underlying performance is improving in most of our 13 global business units. Our second half plans are stronger than our first half plans and the innovation agenda has always been back-half-skewed. Although we have more opportunity, we're making progress broadening distribution on many of our 2010 and first half 2011 initiatives. However, the Baby & Parenting business is turning out to be a bigger challenge than we anticipated and the turnaround we expect to deliver will not happen overnight. That said, we have plans to stabilize Baby & Parenting in the second half of 2011 and believe we can exit the year in growth mode again. In this context, we expect total company core sales growth in the second half of the year to fall between 3% to 5%, generally in line with the long-term guidance provided for the business but below the implied second half growth rate communicated in June. The combination of our first half actual core sales growth of 0.2% and our range for the second half of 3% to 5% result in our full year core sale guidance of 1% to 3%. This revision to the June outlook is connected to a more conservative view of U.S. and European consumer confidence and of the timetable required to return the Baby & Parenting GBU to growth. Despite a strong plan in the second half of 2011 in Baby & Parenting, I believe this is a prudent and necessary perspective to embed in our second half expectations, given our first half actuals and the underlying category headwinds this business faces. Consequently, normalized EPS and operating cash flow guidance will shift downward in a line to the half 2 growth outlook, with EPS guidance of $1.55 to $1.62 and operating cash flow guidance of $520 million to $560 million. I believe the choice to revise our outlook is appropriate and gives us the room to deliver very solid second half core sales growth in the 3% to 5% range. There's been speculation about a need for a more significant EPS reset in order to set the stage for future growth. I do not believe that is necessary or appropriate. We have the people, the brands and the resources required to deliver steady core growth in the 3% to 5% range. This is our guidance and the team is focused on delivery month-by-month, quarter-by-quarter. We will stretch ourselves toward delivery at the high end of our guidance. That said, there are 3 important issues that, depending on how they play out, will influence whether we deliver the high or the lower end of the range. The first of those factors is our Baby & Parenting business. As I've said, the challenges we're facing in our Baby business are significant. The number of new births in the U.S. in 2010 fell to the lowest levels since 2003, and there's no indication that birthrates will recover quickly. Additionally, our Graco consumers, young parents starting a family, are some of the most economically stressed consumers in today's environment. In the near term, there does not appeared to be an external catalyst for that environment to improve, and in fact, the debt crises in the U.S. and across many countries in Europe could further stress consumer confidence. In this environment, our Baby & Parenting results will be driven by strengthening the value proposition for our brands, delivering outstanding innovation at the lower end of the market as a defensive tactic, stretching our key brands to the higher end of the market with value-added ideas, more aggressively deploying our full brand portfolio and executing brilliantly every day. In the second half in the U.S., we'll drive consumer-meaningful innovation in the Baby category by both protecting our plank at the low end with our new Century by Graco line and driving Graco to the premium value-added positioning with the broader deployment of the Graco Signature Series. We're also working with our retail partners to activate greater promotional support in the second half of 2011 than we had in the first half of the year. These activities are all built into the second half plans. Importantly, in Japan, we're seeing signs of progress on Aprica and believe the building momentum there could make a more meaningful contribution as the year progresses. I think the plans the team has put together can stabilize the business and then return it to growth as we exit 2011, into 2012. However, we must recognize that the consumer environment remains very tough. So while we believe the plans we have can deliver the intended outcome, the low end of our outlook range contemplates a scenario where the Baby business does not deliver the stabilization we expect. The second issue that could influence where in the range we land relates to how consumers respond to price increases we've taken on our Rubbermaid Consumer business. The Rubbermaid Consumer global business unit is executing well despite getting off to a slow start in Q1 due to a change in promotional strategy at key customers. Second quarter results were improved, and we and our customers have a more robust promotional plan in the back half of the year. The main concern here revolves around consumers' demand elasticity resulting from higher prices. As you may recall, we announced additional pricing actions, which went into effect in July, intended to offset excess input cost inflation. Those price increases are flowing into the marketplace now. The good news is that on many product lines, we believe our competitors have had to take greater price increases than we have. Our second half guidance assumes a modeled negative volume impact related to the price increases we've taken. In this difficult economic environment, there is some risk around what impact higher prices will ultimately have on consumer purchasing behavior. The last key variable that could influence where we fall in the back half core growth range is the consumers' response to our back-to-school programs. While more of our back-to-school selling occurred in July versus June than we expected, we've had a good sell-in for back-to-school and have developed strong programs for the season in partnership with our customers. Our Sharpie and Paper Mate brands are getting stronger every day, and we are positioned to win this important shopping season. The key uncertainty is whether the consumer will show up and spend. The resulting sell-through will be a critical success factor in reaching the high end of our guidance range. So again, we're leaving ourselves room to accommodate a reasonable range of outcomes around these 3 important areas of our business. I know our team is focused on execution, and I know they're playing for the high side of the revised growth, EPS and cash flow guidance. That said, we need to do that without compromising the strategic agenda we have to build our brands and categories for the future. I'm confident we can work through these dynamics and get the business back into the cadence of delivering what we say we're going to deliver. We need to simply do what we say we are going to do. As I mentioned earlier, there's tremendous upside here at Newell Rubbermaid. The growth potential is what led me to take this job. We have a great portfolio of brands in growing and globally relevant categories. As I've said, I believe the company has the people, the brands and the resources required to deliver our upside potential. And there are significant opportunities to accelerate growth and improve profitability of our business by more effective commercialization of our products and innovation, more complete deployment of our brand portfolio across our existing geographic and channel footprint and by expanding more aggressively into faster-growing emerging markets with the appropriate subset of our portfolio. To get this done, we'll have to continue to improve our cost structure and reduce our working capital to free up the fuel for growth and investment. We'll need to execute with EDGE, which is a concept I've used before, and stands for Every Day Great Execution. Execution with EDGE ensures no opportunity is left unleveraged. We'll need to continue to build the capabilities of our team with the consumer and the customer in the center of everything that we do. And we'll need to drive a performance culture deep into the organization with a relentless commitment to delivery month-by-month and quarter-by-quarter. With that, let me hand it over to Juan for a deeper dive in the numbers, and then return for some brief summary comments before taking your questions.
Juan Figuereo: Thank you, Mike. I'll start with a review of the quarter's normalized result and conclude with our full year outlook. I would like to remind everyone on the call that a reconciliation of our reported to normalized result and earnings outlook can be found in our press release and in the earnings presentation posted on our website. Net sales for the quarter were $1.6 billion, a 5.1% increase versus the prior year. Excluding a positive 3.2% impact from foreign currency translation, core sales grew 1.9%. Recall, our Q2 2010 sales were negatively impacted by about $35 million due to customer prebuying in anticipation of the April SAP go-live in the Rubbermaid Consumer and Commercial Product businesses. Adjusting for this, core sales performance versus the year-ago quarter contracted 40 basis points. In North America, net sales grew 2.4%, which is 1.8% core sales growth, led by the strength of our Tools, Hardware & Commercial Product segment. Our international business grew 13.6% or 2.1% on a constant currency basis, with Latin America delivering core growth of 10.4% and Asia-Pacific, 17.2%. Each segment is contributing to the growth in these regions, and we're encouraged by the evidence that our strategies are working. On a year-to-date basis, we reported net sales of $2.9 billion, a 2.6% increase versus last year, while core sales increased a modest 0.2%. Although we are facing worsened economic conditions in the U.S. and Europe as compared to our going-in assumptions at the beginning of the year, we continue to expect sales growth in the second half on the basis of a very robust commercial calendar and continued momentum in the APAC and Latin America regions. We generated a gross margin of $589.9 million or 37.5% of sales, a decrease of 175 basis points compared to the second quarter of 2010. This margin performance is consistent with our expectations and is a result of several factors, the most significant of which were higher input costs and sourced finished goods inflation. We have taken judicious price increases to buffer the impact of the cost challenges. And while most of the actions took effect mid- to late Q2, some extended to the early part of Q3. In addition, as you may recall, Q2 2010 benefited from higher-than-usual overhead absorption. We expect to generate margin expansion in the back half, supported by the impact of our pricing actions, productivity and favorable mix. On a normalized basis, the second quarter SG&A was $382 million or 24.3% of net sales compared with $361 million or 24.1% of net sales last year. The year-over-year increase was mainly due to other strategic spending of $9.5 million directed towards organic growth in faster-growing markets and new categories, primarily additional direct sales people, as well as brand-building spend of $2.3 million in support of new product launches and new product development. Structural SG&A decreased approximately $5 million, while foreign currency had an unfavorable $15 million impact on SG&A for the quarter. We do anticipate increased strategic spending in the back half of the year, both on a dollar and percent-to-sales basis. This spend will be aimed at supporting seasonal events, new market entries and key product innovations. Operating income on a normalized basis was $207.9 million or 13.2% of sales compared to 15.1% last year. Interest expense for the quarter was $21.3 million, representing a decrease from the previous year of $11.9 million. This improvement was driven by the benefit of our Capital Structure Optimization Plan, a more favorable interest rate environment and the higher mix of short-term borrowings. Our normalized tax rate in the second quarter was 26%, compared to 24.8% in the prior year quarter. The change in the year-over-year tax rate was primarily driven by the geographic mix of earnings and the timing of certain discrete items. Our normalized EPS for the quarter came in at 46% -- at $0.46, a 9.8% decrease from last year's second quarter EPS of $0.51. We generated $92.8 million in operating cash during the second quarter versus $154 million last year. CapEx for the quarter was approximately $51 million versus $38 million last year. On a year-to-date basis, we used $15.5 million in operating cash versus $183.4 million generated last year. The year-over-year change in operating cash flow is primarily driven by higher inventory levels in anticipation of emerging markets expansion and new products introduction and by the settlement of customer programs. Capital expenditures were $96.1 million compared to $69.3 million in the prior year. Now I'd like to turn to our segment information. Home & Family net sales for the second quarter were $601.4 million, a 1.6% increase versus last year. Core sales in this segment decreased 0.4%. Growth in the Rubbermaid Consumer business was offset by declines in our Baby & Parenting business. Home & Family operating income was $64.6 million or 10.7% of sales compared to last year's income of $75.6 million and 12.8% of sales. The lag between pricing action and input cost inflation impacted this segment particularly hard. SG&A increased marginally, $1 million. A higher strategic spending and a $3 million increase from foreign currency translation were partially offset by a reduction in structural SG&A spend. In our Office Products segment, second quarter net sales were $499.9 million, a 3.4% increase versus last year. Core sales declined 1.3%, primarily due to a shift in the timing of back-to-school shipments, while foreign currency had a 4.7% impact. Office Product operating income was $96.3 million or 19.3% of sales versus $99.4 million or 20.6% of sales last year. Input cost inflation and the negative impact of the overhead absorption timing shift I mentioned earlier were largely offset by productivity, better mix and favorable currency translation. An $11 million increase in SG&A also contributed to the year-over-year operating income decline. The increase in SG&A was driven by strategic SG&A spending of $5.4 million across the segment and unfavorable currency of $8 million, partially offset by a reduction in structural spend of $2 million. In our Tools, Hardware & Commercial Products segment, second quarter net sales were $471.5 million, a 12.1% improvement over last year. Core sales increased 8.8% and foreign currency had a positive impact of 3.3%. International growth, proving its continued momentum, was also particularly strong in this segment, with significant growth in the Latin America and APAC regions. Tools, Hardware & Commercial Product operating income was $67.2 million or 4.3% of sales, compared with a 16.7% operating margin or $70.1 million a year ago. This was driven by a decline in gross margin as input cost inflation was not completely offset by pricing and productivity initiatives in the quarter. SG&A increased $7 million, mainly driven by $4 million in foreign currency translation and targeted support to drive organic growth in faster-growing markets and new categories, primarily additional direct sales people in APAC and Rubbermaid Medical. Also of note, on July 1, we divested the BernzOmatic torch and solder business, which generated full year 2010 sales of $101 million and gross margin significantly below the company's fleet average. Beginning in the third quarter of 2011, financial results of the BernzOmatic business will be accounted for as discontinued operation in both 2010 and 2011. The impact of the discontinued operations accounting treatment on 2011 -- on 2010 and 2011 financial results will be made available simultaneously with our third quarter earnings results. The transaction is anticipated to be marginally dilutive to normalized earnings in both years. The net proceeds will be used to pay down debt. We're still working through the numbers, and the outlook I'm going to discuss next assumes BernzOmatic as ongoing. Turning now to our full year 2011 outlook. As Mike mentioned, we're making important adjustments to continue to adapt to the difficult economic environment in the U.S. and Europe. What has not changed is the fact that our new product innovations are resonating with consumers, and we're getting shelf space and market share in many of our categories. We're committing the brand-building and strategic spend that will drive sales in North America and allow us to continue to accelerate expansion in higher-growth emerging markets. We now expect full year core sales growth of 1% to 3% and expect foreign currency translation will contribute about 2 points to our total reported sales growth. Our guidance for full year gross margin expansion of 40 to 60 basis points remains unchanged. As previously indicated, we are experiencing higher levels of cost goods inflation than our going-in assumptions, and our guidance reflects the targeted pricing actions that we have taken to mitigate this excess inflationary pressure. The impact of these pricing actions will read through about evenly in the back half of the year. We expect our input costs and source goods inflation to taper off gradually in the second half and expect strong levels of productivity in Q4. The combined impact of these items is such that practically all of the gross margin expansion is expected to occur in the fourth quarter. Despite the economic headwinds we're facing, we're committed to our strategic initiatives and will continue to spend against them. We believe this is important to position the company for growth. Therefore, we expect higher levels of SG&A as a percentage of sales in the back half, especially since spend to support back-to-school will be more heavily weighted to the third quarter this year. Interest expense for 2011 is still expected to be around $90 million, reflecting lower borrowing costs as a result of our 2010 Capital Structure Optimization Plan and lower cost short-term debt in our mix. We project our normalized tax rate for 2011 to be between 28% and 29%. We are updating our outlook for normalized earnings per diluted share to be in the range of $1.55 to $1.62. This normalized EPS expectation excludes approximately $8 million related to the incremental costs associated with our CEO transition and between $80 million and $85 million of restructuring and other plan-related costs associated with our European Transformation Plan. We now expect to generate operating cash of $520 million to $560 million for the full year, including $90 million to $100 million in restructuring and restructuring-related cash payments. We plan to fund capital expenditures of approximately $200 million. In conclusion, we're focused on taking the actions needed to address the issues we're facing in certain categories while supporting the momentum across the rest of our business. We're facing some challenges, but we are winning across most of our categories. With that, I'll hand it back over to Mike for his final comments.
Michael Polk: Thanks, Juan. Before we open up the call for questions, I would just like to reiterate how excited I am to be here at Newell Rubbermaid. There's tremendous upside potential in this business. The growth potential is what lead me to take the job, and I really look forward to helping unlock it. My immediate priority is to work with my team to make sure we deliver our 2011 commitments while building and executing a plan that gets 2012 off to a strong start. I'll talk more about our path forward in the near future. But with that, Juan, Nancy and I are happy to take your questions.
Operator: [Operator Instructions] Your first question comes from Dara Mohsenian at Morgan Stanley.
Dara Mohsenian - Morgan Stanley: Mike, can you give us an update on any major changes in strategy you'd expect to implement under your leadership? And also if you're comfortable with the long-term EPS growth algorithm that was laid out previously under Mark?
Michael Polk: Sure, Dara. Thanks for the question. As I said up front, we'll have more time to talk about the path forward at a future date, but I think the path we're on is one we want to continue to execute against. The long-term financial model that's been shared through the analyst conferences that have been had and other conversations, I think is a good one. The drive to get structural SG&A down and get the investment into our brands is going to be a critical enabler to unlocking the growth potential in this business. And of course, there's more work to be done in that space. But broadening our geographic footprint, fully deploying our portfolio into -- our brand portfolio into the markets where we compete today, and then continuing to drive -- to create operational intensity in this business and execute with excellence are critical elements of the path forward I'll ultimately describe.
Dara Mohsenian - Morgan Stanley: Okay, that's helpful. And then, Juan, you obviously had a challenging Q2 and the macro seemed to be deteriorating a bit in the developed markets. So can you talk about if you've taken a more conservative approach to full year guidance, given a more uncertain world? Then basically your level of visibility around second half guidance, particularly on the top line and gross margin side, given you're forecasting some improvements in both areas on the second half?
Juan Figuereo: Yes, unfortunately, we're seeing a softer economy in the U.S. and Europe than we would hope for. Our business outside of North America, particularly outside of the developed world, Western Europe and the U.S., is growing very strongly. You heard that from the numbers today. And we have taken more conservative views on the macros, which is the reason for pulling down a little on both the top line and the EPS. Generally, we feel good that we're doing the right things in the kind of soft economy that a good business does because we're gaining share, and we are positioning the business for strong growth when the economy returns.
Dara Mohsenian - Morgan Stanley: Okay. Could you talk also a little bit about the gross margin side and the pricing/costs dynamics in the back half?
Juan Figuereo: Yes, we said that we expected Q2 to be the highest inflation pressure of the year. That expectation still holds true. We expect our inflation to taper off gradually in the second half of the year. We've taken pricing in Q2 and we've taken some pricing that takes effect in Q3. So in the second half, we'll have more of the pricing benefit that we had in Q2. And in Q4, we would have the full benefit of pricing. And with the tapering off of cost, then that's how we expect the gross margin expansion to play out.
Dara Mohsenian - Morgan Stanley: Okay, and what percent of your pricing that you have planned for the full year have you taken already here? And can you just talk about retailer response in terms of pushback and if that's gone through and if your competitors have followed, and then also the consumer reaction? And I'll end it there.
Michael Polk: Dara, it's Mike. We've taken most of the pricing that we're going to take so far. Of course, you can't anticipate what's going to happen with inflation. And if we need to respond to that, we would. But against the cost structure we anticipate, we've got most of our pricing in the market right now. As I said in my comments, the pass-through has occurred relatively seamlessly. And given the scope of inflation that everybody in the industry is facing, it's a universal event. There's not much pushback from retailers on these increases. Of course, the key question for both the retailer and for us is whether -- what happens with respect to consumer purchase behavior. And that's the thing that everybody's watching like a hawk. So our teams are looking at point-of-sale data out of the retailers every week, and in some cases daily, to understand the movement differentials between price and unit consumption. And that's going to be the key determinant in the second half of the year, as to how you manage the price/volume spending equation, and that will be true for us. It's true for virtually everyone in our industry, and it's true for the retailer as well. So I think the full story is still to be written. The first phase of it is behind us. Pricing's been communicated. The pricing's in the marketplace. It's being passed through to consumers. You see prices coming up. And we'll have to watch this very closely to understand consumer involvement with our brands and with our categories. It puts more of a burden on the marketing community to really leverage the brand assets we've got. And this is where Mark's commitment to transform Newell into a brand-led company is so, so important. The kind of progress that's gone on here over the last few years is really pretty remarkable in that respect. And it's the strength of those branded assets that'll be the key determinant as to whether the volume falloff is more significant than we've got forecast and whether actually our volume shares increase relative to competition. And my bet is they will because we see such improvements in the equities of these brands' credit to the team.
Operator: Your next question comes from the Joe Altobello at Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc.: Just a couple of quick ones. First, in terms of the retailer inventory levels you're seeing today, where are they in the U.S. and Europe? And is your guidance assuming a further drawdown of those inventories?
Michael Polk: Well, Joe, as you know, it's not actually the drawdown in the inventories that matter, it's the change in the change in inventories that actually influences your turnover. So the question is: Is the drawdown this year different from the drawdown in the last year window? That's the thing that drives the top line effect for us. And we don't see anything out there today to suggest that, that's going to be an issue for us. Of course, you've got the normal levels of inventory activity going on at our customers because, of course, their key metric is return on invested capital. And so they have to continue to work that. But is the degree to which they're working that this year different than what we saw last year? There's nothing out there today that suggests that's a problem for us.
Joseph Altobello - Oppenheimer & Co. Inc.: Okay, that's helpful. And in terms of Baby & Parenting, in particular the outlook for the second half, you said it was down 12% in the first half, and it sounds like you're assuming you get back to sort of a growth mode exiting 2011. What does that growth rate look like in the second half?
Michael Polk: Well, we don't provide guidance on GBU growth rates. But as I said in my comment, we're hoping to stabilize this business and return it to growth as we exit 2011 into 2012. And within the bandwidth of the guidance that we've provided, we've given ourselves the breathing room to not deliver that. So on the low end of the range, it contemplates a situation where we're not as successful as we hoped to be stabilizing the Baby business. So I think we've thought through this with the kind of granularity you would hope we would to give ourselves the confidence that, even with the downside scenarios continuing on the Baby business, that we can land in the range on core growth that we've guided to. And of course, that's obviously really important for me at this point, showing up and standing at the bully pulpit and telling you that we're going to do what we say we're going to do. Obviously, we've thought through that. We believe we've got it planned right. Of course, you can't anticipate every scenario, but we've certainly tortured the numbers over the last couple of weeks and feel comfortable that we're in the right zone.
Joseph Altobello - Oppenheimer & Co. Inc.: Okay, got it. Just one last one for you, Mike. Your background is mostly in CPG, so I'm just curious if you're seeing any major differences or anticipate any major differences in the semi-durable businesses you're in today.
Michael Polk: I think these businesses are some of the most exciting businesses. If you look at Bill Burke's business in Tools, Hardware & Commercial Products, I mean, these are very exciting businesses. Of course, they're different in the cyclical nature of them, in the different sourcing strategies, and the fact that they're selling not directly to the end consumer but they're selling to -- they sell to 2 constituents, the user and the chooser. So I think there are differences in the model, which are actually exciting for me. I'm glad, I really look forward to learning them. In fact, the first series of GBUs I'm going to spend time with in the next couple of weeks is with Bill to just get closer to those businesses, and also to his customers, because the rest of the business obviously feels quite natural to me. Of course, office products is a little bit different than foods, beverage or personal care, where I come from, but it looks awfully familiar. And in all the businesses I've worked in, there are always key drive windows, and you have to nail your key drive windows. And that's clearly the case with Penny's business, the Office Products business. So I think there are differences and I respect them, so I'm not going to come in and sort of blindly apply all the lessons I've learned along the way in the 27 years I've spent in the consumer -- in the fast-moving consumer goods categories. But the thing that's interesting and exciting and challenging for me is to learn these new dynamics and to adjust my leadership agenda to the realities of them. But I will tell you that I do think the principles that I've learned about over the 27 years in fast-moving consumer goods apply. This is about creating a winning proposition with brands and innovation. It's around -- it's execution matters here, and that's why this phrase that I talk about, EDGE, Every Day Great Execution, is so important. And we need to build and continue to develop our executional capabilities both at the point of contact with the consumer and the customer, but also through our business system. And that's as true in consumer goods as it is in consumer durables. Costs matter. Costs -- getting the costs out of the business and getting the working capital reduced so that you give yourself the fuel for investment in the P&L and you give yourself the cash flexibility to invest to build the business, that's quite frankly similar. Of course, the dynamics are different. The inventory turns are different. The sourcing is different. And then of course -- so continuous improvement is obviously at the heart of both businesses and will be at the heart of this one. And then businesses pivot around people. You can have the best strategies in the world from a brands innovation standpoint. You can have the executional force and intent in the marketplace. You can have great plans to get costs out. But if you don't have great people that have a performance edge, the strategies are only as good as the paper they're written on. And so those are the 4 key pivot thrusts that companies either succeed or fail on. And I don't think that's different between consumer goods and consumer durables. What do I bring through all the experiences I've had? A really pretty good understanding of all those different dynamics in the business. And then of course, I bring to Newell, I think, at the right time, a perspective on the world with experiences in Asia-Pacific and experiences across the Americas, and then the latest role across the whole world in building business -- building global businesses. And that, obviously, is the big next opportunity for Newell Rubbermaid. I said there are 3 things that matter. We need to commercialize our products and our innovation and our marketing agenda with excellence. We need to fill out our portfolio in the markets and in the channels where we compete today. And then we need to extend beyond those markets and broaden that geographic footprint of the business. And we need to find the room in the P&L to do that because -- and I think we have plenty of room to do that. So look, there are differences. I respect them. They actually excite me. I love learning new things. And I really feel the connection with the people here. I have the benefit of having been on the board for a couple of years, and so I know folks. It's not like I'm coming in cold. And of course, relationships do matter. The differences excite me, but I think there are a number of core principles that are as relevant to the consumer durables business as they are to the fast-moving consumer goods businesses that I come from.
Operator: The next question comes from Bill Schmitz at Deutsche Bank.
William Schmitz - Deutsche Bank AG: Is there any way to disaggregate the sales growth in the back half of the year between what is kind of committed pipeline fill and what your assumptions are in replenishment?
Juan Figuereo: Is there some way to do it?
William Schmitz - Deutsche Bank AG: Yes. I'm just trying to get a sense for like how much confidence you have in the back half sales guidance and how much you think "is in the bag" and how much kind of relies on some consumption behavior?
Michael Polk: Well, I mean, a lot of it relies on consumption behavior. I don't think it's in the bag, but I wouldn't call it if I didn't think we could make it, because it's obviously important to get back into that cadence, Bill, of delivery. The thing that really worked for us in 2009 and 2010 was the consistency, the steady and consistent delivery of our objectives. And we need to get back into that cadence. Obviously, we could have gone lower. You would have given us permission to go lower. I actually think it's not the right thing to do, and I feel confident that we can get in this range without doing anything that screws up our ability to get 2012 off to a fast start. And that was the criteria I used as I looked at the flow of the business through the quarter. The thing to remember about our activity plan this year is it's always been back-half loaded. The innovation profile is back-half loaded. And because of some of the challenges we had in Q1 with some customers with respect to merchandising activities, we see promotional -- our promotional plans skewed to the back half. So I think the 3% to 5% plans -- of course, there's some pipeline on new products in there, but the 3% to 5% -- the plans that support the 3% to 5% delivery are primarily consumption-driven plans. And when you see us building share, like I quoted, in the U.S. on brands like Sharpie and on Paper Mate and on Rubbermaid Consumer, Food and Beverage and on Rubbermaid Cleaning, you begin to feel confident. But there are 3 variables out there that could cause us to end up on the low end of the range, and Baby & Parenting is clearly the big piece of uncertainty. We've assumed we can stabilize and then return to growth as we exit the year. Time will tell. We're looking at it weekly, monthly, daily. We have to, to look at the flow in the business. So the first indicator I'll have is when I see the July actuals, which are right around the corner. And obviously, we considered them when we did -- as we were deciding exactly what to do with respect to guidance. The other uncertainty is the volume impact on pricing. We're watching it. And if we need to adjust our game or if competition chooses to promote too deeply and we have to respond, we'll respond. The price competitiveness relative to competition is the cost of entry in any one of these businesses. And the third is the consumer takeaway with respect to Office Products. So those are the 3 variables that are unclear at this point in the back half of the year, and they could drive us either to the bottom end of the range or towards the top end of the range. But, so I think -- I'm quite comfortable that we've called the range that we can deliver. The challenge to everyone in the team is to go out and do it now.
William Schmitz - Deutsche Bank AG: Okay, yes, that's great. And then just, Juan, if I do the math and the midpoint of the cash flow from operations range for the year, it seems like a 40% growth rate in the back half. I mean, can you just give us some comfort how you're going to get there?
Juan Figuereo: Yes, at a very high level, Bill, if you look at cash flow generation as a percentage of sales and you were to take out the range that we're giving, you would see that it's actually below the cash generation that we had last year. And that is because we're leaving -- since we are expanding into new markets, particularly Brazil, in the -- and starting now and into the beginning of next year, and we also have SAP go live in Europe in the first half of next year, so we're leaving ourselves room in the cash flow forecast to build a little -- a few days' inventory towards the end of the year.
William Schmitz - Deutsche Bank AG: Okay. That makes sense. But my point is almost the exact opposite, that it looks like you need 40% year-on-year back-half growth to make the newly guided cash flow from operations number?
Juan Figuereo: Yes, well, that is because inventories are a little higher, right, as we're going into the second half. We also have the back-to-school shift, which means receivables are a little higher than the previous year. So that cash will come back and will come back strongly beginning towards the second half of Q3 and the beginning of Q4.
William Schmitz - Deutsche Bank AG: Okay. Great. And do you still think -- I'm sorry, you go ahead. Sorry, Mike.
Michael Polk: Bill, this is Mike. Every one of our GBUs has a number with respect to inventories that they're incented to deliver, and it's front and center. There's a bright light on those numbers. So again, when you think about execution, you think about delivery and consistently doing what you say you're going to do, each one of those 13 GBUs has in their forecast, which ties to the range we've given, committed to deliver those numbers. And of course, we'll follow through and make sure that happens.
William Schmitz - Deutsche Bank AG: And that corresponds with their incentive compensation also?
Michael Polk: Yes.
William Schmitz - Deutsche Bank AG: Okay. The debt repayment, I mean, is it still your intention that when the debt comes due in November, you're going to take it out instead of refinancing it? Is that still the case most likely?
Michael Polk: Yes, in terms of capital allocation, our first priority is to pay down the debt and get our credit rating where we want it to be. There's other things that we could do with cash. One of the beautiful things about this company is its cash capacity, and there's more room to improve it. So, obviously, getting that where we want it to be is job one, and then there are other things to be done. There's the commitment to invest to accelerate the growth in the business. And there is obviously other alternatives that can create shareholder value that, of course, the board constantly talks about. We've taken a step in the right direction with respect to increasing the dividends in the business, and there's probably a little bit more room there. And then, of course, there are other alternatives. But in terms of number one priority with respect to cash deployment, we got to get the debt repaid. We got to get the credit rating where we want it to be. And then we have -- we and the board have a series of options in front of us.
William Schmitz - Deutsche Bank AG: Okay. So I think there's $300 million of debt or so due, right, in November? So you probably take that out, and then do we kind of revisit dividends and share repurchase?
Michael Polk: We'll go through with the board how we want to sequence the deployment of capital. So rather than give you a specific answer to that question, I'm going to duck because it's...
William Schmitz - Deutsche Bank AG: It's your first call, so that's allowed. .
Michael Polk: I'm going to duck because I think the board gets a vote as well on what we do.
William Schmitz - Deutsche Bank AG: Okay. Great. And then, Juan, just -- sorry to keep going, but the 25 -- you could kind of always target 25% SG&A to sales ratio. What do you think the new number is now given the step-up in the back half of the year? And historically, I always thought it was kind of like pay-as-you-go, so you're going to fund strategic with lower overhead. Is that just going to be disconnected in the back half of this year because of some accelerated merchandising activity?
Michael Polk: Our first half spend is a little bit lower than what our long-term guidance. What I don't want to get into the cycle of Biz-Mike. I don't want to get into the cycle of managing those numbers in the 90-day window or 180-day windows. Strategically, I think the guidance we've given is right. One of the things we'll have to think through, as we build out the geographic footprint of the business, is how you manage the deployment of infrastructure in coordination with the revenue generation. So as we build in Brazil, we may have slightly a higher SG&A ratio that comes with building up the business there or in China or in Southeast Asia or any of the other places we might think about going. We're going to have to manage that. And in any given quarter you're going to see that flex one way or the other. The strategic priority we have is to get more money invested in the strategic G&A, whether it's the selling capabilities, the marketing capabilities, the R&D capabilities to develop proprietary points of difference or the specific spending behind our brands. But I don't think we need to do anything dramatic in this area. We just -- we'll have to manage that. One of the other interesting effects that we've got within -- across the 13 GBUs, is that you have very, very different SG&A profiles as a percentage of revenue on those 13 GBUs. So depending on how we play our portfolio with respect to our growth agenda, you may see an SG&A mix effect in the numbers. Now I'm not suggesting that any one of those drives you to an outcome that's different than the strategic guidance that we've given so far, but I reserve the right to look at that as we think about how to make sure that the whole is greater than the sum of the parts with respect to Newell Rubbermaid. And that may force us to come back to you guys and say, listen, here's the new equation and it may require some of those metrics that we've been pretty absolute on to flex in order to enable the outcome. And you can judge whether that's a good point of view to take to market or not. But we'll make sure we do all of our homework before we put anything like that in front of you.
Juan Figuereo: Just let me add here. You heard Mike's view about how to manage the SG&A. And to be clear, we do expect to be over 25% in the second half of the year.
Operator: Your next question comes from Mark Rupe at Longbow Research.
Mark Rupe - Longbow Research LLC: On the Baby & Parenting segment, just trying to get an idea of what your expectations are for the category. I know you want your business unit to stabilize and then show some growth next year. But just trying to get a sense of the minus 12%, is that the category or is that you and the category is something less than that?
Michael Polk: This is -- there is no one category within Baby, so -- there's a whole series of different segments. So I hesitate to quote a Baby category growth rate. Category growth rate clearly, though, is depressed across each of the segments. We have good momentum, quite frankly, relative to the market, but it's just sort of not an acceptable outcome to be down 12%. It just -- it really, obviously, dampens, tempers, the momentum we've got in other places. So we have to figure that out, irrespective of the share momentum we might have in the business. And as the leader in the market, which we are, globally, it's incumbent upon us to drive and be the catalyst for category growth. That's what -- we need to think about not simply brand share shifting, but market development and expanding the size of the pie. And so that's the challenge. It's a very, very complex challenge. And I want to make sure that our shining a bright light on this business doesn't lead to the wrong impression. We've got very bright people working on this business and working day and night to try to figure out how to create that catalytic event without the category -- in the context of the category headwinds that they're facing. So I want to be clear that we've got the right people working on the business and doing the right work. The question is, does that work yield the catalytic event that we want it to yield to drive stabilization of the business and get the business back to growth. I think there are things we could be doing differently in this category than we have up until now. We have the benefit of a stronger back half plan -- which was always the flow of the business, so there's nothing new there -- than our first half plan. But we need to be working in partnership with our retailers to create more engagement in this category from a consumer perspective. And you do that either by creating a vehicle to attract new users to the category, more users to the category. You create that by broadening the consumption options that they've got once they're there, or you do that by premiumizing the category and bringing more benefits. So more users, more usage, more benefits. That's the way you expand markets. It's not easy when you're dealing with birth rates that are the lowest level in 7 years. And if you look at the rate at which they've fallen in 2010 versus 2008, I think they're off 5%. So you've got a dynamic there just on birth rates that is compounded by the fact that people that are having kids, especially young families that are having kids, are feeling a real pressure from an economic perspective. They're the folks that are stressed the most right now. And so they're either borrowing their sister's car seat or they're buying a car seat at a tag sale as opposed to going and buying new stuff. And we can't control that. That's the reality in which we operate. What we can control, we need to do with brilliance, and particularly now. And when the category ultimately turns around, all the work that we're doing now in this category will yield wonderful benefits when the category does turn around. And I'm not about to predict when that'll be. I know I've seen others' comments about it seems to be turning -- I don't think we should be building a planning posture in this category that assumes a category turn-around anytime soon. I think that would be the wrong choice because it would take the pressure off the work that the GBU needs to do. And so, look, it's a very difficult environment and it's not -- it's not one that any of us haven't been in before. So there's a tremendous amount of empathy for the folks that are trying to create the catalytic events to turn this business. But the burden is really on us to do it. And you can be assured that -- I was joking with the fellow who runs the GBU the other day that I was going to take a couple of chairs out of my office and put another desk across for me where I can throw my little crumpled-up papers with ideas over to him. He didn't think it was very funny, but that's the kind of involvement that he's going to -- he's going to get our full support in trying to help him make this turn, because it's obviously quite critical. It represents -- the category represents, GBU represents about 10% of our business.
Mark Rupe - Longbow Research LLC: Juan, on the European Transformation initiative, the cost savings, has there been -- could you remind me of the flow of that, that $55 million to $65 million, I believe is what it is, the flow of that. Is that all post-'12 or will we see some of that in 2012? And then, I guess if there's been any change in that thought process?
Juan Figuereo: Yes, well, the benefit is more than just cost, right? There's also some tax benefits in there. The operating benefits are coming in slowly. The tax benefits come in after the APC SAP implementation next year. But you see that the EMEA, the Europe operating margins have been improving. In fact, we are either on track or slightly ahead of where we expected to be in terms of the OI improvement in Europe.
Operator: Your next question comes from Linda Bolton-Weiser at Caris.
Linda Weiser - Caris & Company: Can I just ask about -- maybe I'm confused, but I had thought that the company's confidence in second half sales growth being higher was that you have certain shelf space gains and planogram changes at retailers that will benefit you in the second half, so that's kind of the root of your certainty. In which case I'm confused about why you had said that the increase in growth was consumption-driven. Because certainly your categories aren't going to spurt ahead and grow higher to 3% to 5% growth rates in the second half when the growth is so low now. And so while it's good that you're gaining shelf space at retail, that's a real positive thing, but it does create a lumpiness in terms of shipments that could create issues for comparisons next year. So could you just kind of comment on that?
Michael Polk: Sure. I mean, Linda, there's 2 elements. First of all, I'll push back just a little bit on the shelf space comment you made and not being consumption driven. In fact, in my experience, while there's a pipeline benefit that comes with that, that's not the material change that occurs. The material change that occurs is that your brand's presence broadens relative to the rest of the category, typically, because retailers don't expand the sections. So if we're gaining distribution and gaining facings, it's coming at somebody else's expense. So that results in a share gain and should result in a share gain, which benefits us. And that's consumption. The other thing that typically happens is retailers are really savvy. They're not going to give an inch of shelf space up to something they don't believe brings some new news to their category. And typically, the things that we're bringing in, that we're gaining shelf space on, are the things that are innovations or bring new benefits to the category. And so when you do that, you create more consumer interest in the category, and that results in consumption dividends. So, yes, you're right in one way that the -- there's an inventory benefit to increased distribution, and that's a onetimer. But the real value is in the increased turns you get off shelf and the share expansion that you should theoretically get, if the ideas you're bringing to retail are ideas that bring new news, incremental value to the category. And the retailers keep us honest on this. They're not just going to put a me-too product on shelf. They want -- they are feeling the heat as much as we are with respect to increasing their same-store sales. So what do they manage? They manage their real estate. And so they manage it in a very, very disciplined and hard-edged way. And trust me, if we don't bring something that's good and new and powerful to them, they're not going to take it. And we're not stupid enough to throw money at them to take it, because that is just -- that's a waste of space and a waste of time and a waste of profit. I'd rather have the investment go into building consumer relationships with the brands.
Juan Figuereo: So you're not confused, Linda, I think we're saying the same thing. The space gains are there. The product will be there. Mike is saying, once the product is in the shelf, it needs to rotate.
Michael Polk: Yes, and it does. Otherwise, it doesn't stay.
Linda Weiser - Caris & Company: Okay. That's helpful. And can I just ask about your philosophy on portfolio changes, divestitures and acquisitions. I guess more on the acquisition side. And Newell has always been and continues to talk about making acquisitions in the future, but my experience over the years with the company is that one thing that's a great idea today to acquire ends up being a divestiture candidate 5 or 7 years later. So can you just talk about kind of your view on acquisitions?
Michael Polk: Yes, it was interesting because Nancy was giving me a hard time, and Alicia was giving me a hard time about the fact that I said 3 times in the speech that I think we have the brands, the people and the resources to win. They thought it would get old news. I think I'm going to continue to say that until I'm blue in the face. So maybe a year from now, I'll continue to say that. I think our primary job is to unlock the growth potential of this business organically. That's not to say that there won't be opportunities to strengthen our agenda by bringing assets or capabilities in from the outside that we don't have today in our portfolio. But I don't want the team spending a whole heck of a lot of time on that. In my experience, the best way to create value is to grow organically. Now again, bolt-ons, new capabilities, proprietary points of difference from a technology standpoint, things that strengthen our ability to build our geographic footprint out, brands that might fill portfolio gaps within the existing categories in which we compete, those are all interesting things that we've got to consider. And it just comes down to the economics, which is the best way to create value. And so I'm not saying I don't believe in M&A, because I do believe in M&A when it can strengthen our agenda. But I don't want the teams focused on M&A. I want the teams focused on the ideas they need to build to unlock the full potential in their categories. And I want them thinking about how to deploy their categories more actively into the existing geographies and channels in which we compete, because there's a lot of opportunity there still. And I want them thinking about how to build the business system in the geographies which have -- in the emerging markets where the categories in which we compete have higher growth rates; and in the developed world, where we have the vast majority of our footprint today, I need them thinking about how to make the investments and understand the right route to market, the right product propositions for consumers in those local geographies and the right marketing programs to unlock those opportunities. That's job one by far. And then, Juan and I and Buddy and the team, we'll think about bolt-ons if they make sense and they strengthen our potential to deliver job one.
Operator: Our next question comes from Connie Maneaty at BMO Capital.
Constance Maneaty - BMO Capital Markets U.S.: I was interested in your comments on working capital because, at about 20% of sales, it's high compared to a lot of the companies in my universe. But I understand that Newell has benchmarked itself against other comps and has even been described in some ways as best in class against those comps. So I'm interested to hear what you see is the opportunity for Newell in working capital. Which of the components hold some of this opportunity and how you would make progress against that?
Juan Figuereo: Yes, let me first take a stab at it, Connie, and then Mike certainly will jump in. I will say that we're focused on working capital. We do look at what others are doing and we make sure that we are building capabilities. SAP, et cetera, has been helping us. This year, when you look at our working capital position in Q2, we have 6 more days in inventory -- about 6 more days in inventory than we had last year. Those are for good reasons: Back-to-school shift, new product launches and expansion into emerging markets. We have about 3 days more in receivables than we had last year, basically from the back-to-school shift. And that will come -- should come down fast. So as we see it from now is more fine-tuning as we improve our capabilities to manage on a global basis. And SAP is giving us capabilities that we did not have before. So we expect continuous improvement, but no big changes as we did a couple of years ago when we took 12 days out of inventory.
Michael Polk: I don't think I'll build on that. I think working capital has to be right in the center of the core business metrics that our GBUs have, just like market share is where they can measure it, just like top line core growth is, just like their innovation metrics, their margin metrics are. It's one of the key dashboard items that they have today, and they'll continue to have and we place -- we'll continue to place the same emphasis on this as we do anything else that we think can benefit from continuous improvement.
Constance Maneaty - BMO Capital Markets U.S.: Okay. And then if I could also ask a question about the geographic platform. I understand the appeal of emerging markets and how Newell categories or businesses can fit nicely there. But the U.S. is still 70% of total and most of the categories are flat to down and have been even before the recession. So how -- I mean, what are your thoughts about growing, turning the U.S. sales? I mean, how can U.S. sales grow sustainably? I guess that's my question.
Michael Polk: Yes, I mean, I think this is the most important question. Let me be very clear. You can't extend beyond until you win where you are. So my comments on broadening the geographic footprint to this business, there's no way that doing that in the short term will compensate for underperformance in North America or underdelivery in Europe. So -- or Japan or Australia, New Zealand. I mean Australia, New Zealand, Japan, Europe, North America, these are -- that's where the business is today. So you clearly have to win where you are before you can extend beyond. I agree 100% with you. And I hope no one misreads what I'm saying to suggest that the growth thrust will be emerging markets. Actually, the growth thrust has to be the first 2 priorities I said, which is commercializing our agenda with more efficiency and effectiveness and impact, whether that's the way we bring products to market or the innovation agenda we've got in the markets in which we compete today; broadening the distribution of our ideas in the markets in which we exist today and in the channels in which we compete today. There's plenty of opportunity to do that. And I said those 2 things first on my list before I got to broadening the geographic footprint in the fast-growing emerging markets, and I did that sequence on purpose. Because the third priority would be to do what we're saying. Now I think we can walk and chew a gum at the same time, because we're not going to press out into emerging markets in a way that risks the first 2 priorities. So we've launched Paper Mate and Sharpie into Brazil at the very tailend of June and we've got an excellent plan there to build our business. We're testing Rubbermaid Consumer, Food and Beverage and a couple of other categories, and we're testing Baby & Parenting in Brazil. And we're going to figure that out and do that right before we cast too wide of a net in the emerging markets. Our Fine Writing business is on fire in the developing world. 400 shop-in-shops in China. And we're now deploying and opening our first one in Moscow. And we're looking at other emerging markets where luxury goods -- it's interesting when you go around the world and you look at these countries, you get this bifurcation in the market. The high-end luxury end of the market really is on fire because brands really do matter. And you've got the low-end opportunities as people enter the category as they grow their economic well-being. And so our strategy needs to straddle all ends of that, and we're doing that today in a disciplined fashion. So as we think about the emerging markets opportunity, trust me, we're going to do that in a very disciplined way that leverages -- I bring a lot of insight on this from my days at Unilever and my days running Asia Pacific for Kraft. So that's where they're, both companies -- certainly Unilever's strength is, 60% of their business, their $60 billion business is in the emerging markets. So I spent a lot of time looking at that. Juan has tremendous experience. Penny has tremendous experience. Jay has worked outside the U.S. We're going to do this the right way, but it is a -- it isn't the dominant force that will drive our growth. You're right.
Operator: The next question comes from Chris Ferrara at Bank of America.
Christopher Ferrara - BofA Merrill Lynch: So I guess, Mike, you joined the company from the board, obviously, like you said, you're no stranger to the rocky relationship the company has had and the stock has had with investors, and I think you've alluded to this already. So I guess, I think many of us have expressed over time why we think your stock oftentimes discounts basically no growth potential, giving it no credit for the positive changes that have been made. But I guess, I love your view on why you think the market takes such a cynical approach to the stock and has in the past, and it seems like you have a pretty good opportunity to change that. Obviously, you're taking the over on that bet by taking this job. But I mean, what would you do? What are you going to do, do you think, to change that sentiment that's out there?
Michael Polk: Yes, I think we have to earn the confidence from the market. I don't think there's anything I can say to deal with the point of view that people have on this stock. We have to, quarter-by-quarter, just deliver the agenda we are committing to deliver and prove to you that we're a good bet relative to the other bets that people can make in this segment -- a better bet than the other bets that people can make in this segment. So I don't have a magic answer to that. I think what you can count on us to do is to be completely transparent about where we are; to engage and communicate the good, the bad and the ugly along the way; and to upload your feedback. I think the first -- the next 6 weeks for me are about getting out and about and listening, because I need to make sure I understand the history before I can work with the team to build the future. And I'm proud of what this team has done. I'm proud -- and I think if you understood maybe the way I understand what's happened here over the last 5 years, you'd really feel -- I'm sure you'd begin to feel the same way. It's been heavy lifting to take this company and make it a brand-led company as Mark has done, to tackle those costs, capital and portfolio of challenges that were here. And the team deserves immense credit for having gotten us to the position we're in today. And companies get -- company's stories get written over multiple chapters. And so Mark's written the first one, and I'm going to work with this team to write the next one and somebody else will write the third one. And it may take beyond my life cycle in this role for us to earn the respect I think the company deserves and to trade with a multiple in line with our peers. I don't know how long that will take. I think the thing that I'm going to focus on, though, is not worrying about that. That is what it is. I'm going to worry about charting the right path with the team and then worry about delivering it. And the story will play out the way it plays out in the market. I'll do my best to explain it and to bring clarity to what our agenda is and help you understand our portfolio, which is an opportunity. And I don't want to get into that today, but I will shortly with you because I -- part of what excites me is the growth potential, but I have to explain to you why, and I haven't done that today. And that's something that needs to wait a few months until I listen carefully to everybody and can make sure that my perspective is grounded in all the understanding it should be grounded in. But once that's done, I think I can get you excited about this business in the same way that I'm excited about it. As I said to you -- we've said, I've made a bet. You said I made a bet. I did. Believe me I go home every day and my wife looks at me and looks me in the eye and says, "Was it a good bet, bad bet?" And I'm telling her it's a good bet. And so now I don't worry about you guys. I worry about her. So I'm pretty confident that we're going to find our way to the right place here and it's going to be really fun doing it. So my commitment to you is to engage, to make sure you understand where we are and what we're thinking about, and you guys are going to -- the investors are going to have to make the judgment about whether this is a better bet versus the alternatives they've got. I'm going to apply everything I know to this business. And I'm not naive enough to think that I know all I need to know. That's why I'm going to sit with Bill and his team in Tools, Hardware and Commercial first, next week and the week after. So this -- we'll see how the story ends, but I don't think there's a magic formula to getting the multiple and getting the discount to our peer group resolved. I think we have to earn it.
Operator: Your next question comes from Bill Chappell at SunTrust.
William Chappell - SunTrust Robinson Humphrey, Inc.: Just a couple quick questions. I think one of the reasons on the original lowering of guidance was comments that some retailers had slowed orders. I didn't really hear that on this call today. So I mean, have order patterns gotten back to normal and now it's just waiting on the consumer? And then just a second question. Juan, you may have given -- but can you give me what the full year tax rate is expected to be?
Juan Figuereo: Yes, Bill, first on the comment and, Mike, you can add more on the retailers. We talked about the shift in order patterns because retailers were more cautious about the economy, and we have seen that. We mentioned that there's been shift in back-to-school from Q2 into Q3 that impacted inventories, that account -- impacted receivables and obviously that impacted sales as well. In terms of the full year tax rate, we expect it will be between 28% and 29%.
Michael Polk: I'm not sure there's much to add there. I don't think -- I'm not seeing anything with respect to order patterns impacting our -- the fulfillment of the growth agenda we've got in the back half of the year. I think the question now will be whether we get the consumer takeaway we anticipate. And that's the uncertainty that's in the guidance we've provided, and we've talked about these 3 issues. Our ability to turn Baby & Parenting with the cadence, with the speed in which we've said, which is flat in the back half of the year, hopefully exiting with growth. The consumer takeaway from the back-to-school window, which we'll know over the next 6 weeks or so because we'll watch the point of sale; and we'll see the order patterns, the fulfillment order patterns picking up towards the end of August. If we see that movement in Office Products, we'll know we've got the consumer takeaway we need. The volatility around pricing, largely in Rubbermaid Consumer, that's clearly a question mark. One of the things I've asked the group is what is the purchase cycle, because typically you have to wait 2 to 3 purchase occasions before you really know whether you've got the equation right or whether people have chosen to step away from the category or not buy as frequently. And that's something that will take us a little bit longer to understand, and we will. And so again, that's a consumer-driven dynamic, not a shipment-driven dynamic. But again, we'll see that in the order pattern in late August into September. If we don't see Food and Beverage ordering occurring, then that will be symptomatic of an issue on volume related to pricing that we'll have to address. And as I've said, I want to be clear on this, and in particular in this business where it's a bit more asset-intensive, where you can -- if you don't have the right balance of volume and price you can get into fixed-cost absorption issues and gross margin issues, we will have the right balance of volume and price. It's just a question of playing for the perfect -- the high side answer, which is the one we think we're playing for right now, where we hold prices and protect our upside margin potential. Did that answer your question, Bill?
William Chappell - SunTrust Robinson Humphrey, Inc.: Going back to the question, it seemed when it came out in the press release, it was more of retailers were pushing back on your pricing and there was a mass kind of postponement of orders. It sounds like it was really just Office Products and a kind of delay of back-to-school shipments. Is that the way to look at it?
Michael Polk: Yes, that's the way to look at the Office Products. In fact, it wasn't small either. And then you see it -- I've been reading as many reports as I can read of our retailers. And they talk about it as well, that they pushed their ordering back. So I think -- I'm not concerned about that at all. If I didn't see the share progress on Sharpie and Paper Mate, I'd be worried, but we see it. Or the progress on Rubbermaid Consumer in both Food and Beverage and Cleaning. We're building share in those positions. We can't control the category growth rates in the short term. We can over time by bringing better innovation and better marketing programs to market. But if we're building share, then we're doing the things we need to do to put ourselves in the position to win. And having sat with the sales guys and having sat with Penny about their plans by customer for back-to-school, I think we couldn't be better staged. Whether it plays out or not, the clock countdown is occurring towards the ends of August. We'll know by then.
Operator: Your next question comes from Jason Gere at RBC Capital Markets.
Jason Gere - RBC Capital Markets, LLC: I'll also keep it pretty short here. Just one. I guess Mike, you were talking about July and trying to get a read on that. I mean obviously, given the guidance for the top line for the back half, you must have some indication of how July is kind of shaping up, which includes, obviously, some of the back-to-school shift. So I was just wondering if you could talk a little bit about that, how that shaped into the guidance that you can provide for the back half. And then I have another question.
Michael Polk: Well, Jason, obviously, it's something that's front and center, and we had -- this is day 10 for me. So from the beginning of my time, I've been asking how we doing, how we doing, how we doing. And so obviously, that's a variable. But of course, we can't tell you how July is doing, and we won't, because that's forward-looking. But it certainly was a variable in shaping the choice we've made and we had up until yesterday to choose what to do. So I'm sure you know we were looking at it all the way to that point of time.
Jason Gere - RBC Capital Markets, LLC: Okay. And then just with the back-to-school, I think you just mentioned, obviously, the shift was kind of a sizable. I mean, is there any context you can put around that, how we should think about with -- I know again, it's forward-looking. But typically, what percentage of your office sales come through the back-to-school, during that period, on an annual basis?
Michael Polk: Jason, I got to confess, I've tried to learn as much as I can in the last 10 days, but I actually don't know the answer to that. But I'm not sure I'd give it to you. I don't think I want to give it to you because then from now on, we'll be backing into our new numbers. But all I'll tell you is the body language and the data in terms of merchandising frequency and the depth of activity looks good, and that's what I can focus on. The size of the shift was material for the Office Products group, but I don't think we want to get into quoting a specific number. Or do you, Juan?
Jason Gere - RBC Capital Markets, LLC: Was there also a timing shift with Rubbermaid Consumer because of some promotions from Sterlite that pushed you up into the third quarter as well?
Michael Polk: We had trouble on Rubbermaid Consumer in the first quarter with respect to merchandising activity. Our performance picked up in Q2, and we feel good about our Q3, Q4 plans. The group feels like they've got a really quite robust plan. That said, we want to protect the price increases that we've taken. So what we're looking at is good frequency of activity, but not -- we're not going to dip too down -- too far down because we've got the resin inflation to deal with. And it's not just the list price that matters or invoiced price that matters. It's net-to-net price that matters. So we need to make -- and we don't know what the consumer impact of merchandising at a higher price point than we've historically merchandised at will have on consumer purchase dynamics. So it's really important for us to land the pricing in order to deliver the outcomes we're looking at from a margin perspective in an environment of pretty steep inflation in our resin-based businesses. And remember, resin is nowhere near what it used to be with respect to percentage of our cost. It's only around 8%. But for that business, it's important. And we'll just manage that very dynamically. But again, we don't see any pattern shifts in ordering tied to that, but we have forecast volume down within Rubbermaid Consumer and modeled it, and it's baked into the midpoint of the range related to the pricing we've taken.
Jason Gere - RBC Capital Markets, LLC: Okay. And then, the other question's a little more strategic, just about consumer behavior. Obviously, we've seen with Baby kind of struggling with some cyclical issues here, the trade-down to the value. So I was just wondering, as you look at the portfolio, are there other opportunities that you can kind of cure [ph] the portfolio a little bit more value as you look longer term?
Michael Polk: Look, I think you need to -- I'm happy with the portfolio we have. There's always going to be opportunity to, I've used the language before, sort of weed and feed it. And that's something we will always be looking at. I think the more important thing to look at within our portfolio is to play along the price continuum within the categories in which we compete, and to develop a brand portfolio by category that allows us to serve consumers in each one of those categories, no matter what their means are. Of course, you want to do it in a way that is attractive from an economic perspective in our business. You have to be able to deliver a cost structure at the low end and a margin delivery at the low end that is generally a good return for us, but I also want to push the -- I mean, quite frankly, push the portfolio higher to bring more benefits. And what makes us different in each one of these categories is we're the leader, and the leader has the opportunity to create differentiated propositions at the high end of each one of these categories. And I'm hopeful -- and we've done that over the last number of years under Mark's leadership and I want to turbocharge that. So there's more to come with respect to me articulating our path forward. I don't want to get too far into it today, because I want to make sure I've contemplated and listened actively enough to the folks that really have been involved in this business over the last 5 years in shaping us and putting us in the position to do what we have the potential to do next.
Operator: Your final question comes from Ann Gilpin at Jefferies & Company.
Ann Gilpin - Jefferies & Company, Inc.: I just have a few brief questions, really just points of clarification. First, with the adjusted core sales growth from the SAP prebuy, did that disproportionately affect one segment over the other or was that pretty evenly distributed among the segments?
Juan Figuereo: That impacted some 2 segments. One of the business units was Rubbermaid Consumer, which is in the Home & Family segment. The other was Rubbermaid Commercial Products, which is in the Tools, Hardware & Commercial Products segment.
Ann Gilpin - Jefferies & Company, Inc.: So looking at the core sales growth in Tools, Hardware & Commercial Products, is there a way to kind of splice how much of that growth was driven by the SAP prebuy?
Juan Figuereo: Yes, the impact was about 4.4%.
Ann Gilpin - Jefferies & Company, Inc.: Okay. And then lastly, and I apologize, I may have missed this, but did you give the gross margin bridge for the quarter with the cost savings and commodity cost inflation impacts for the gross margin contraction?
Juan Figuereo: No, we didn't give a bridge. We said our guidance is unchanged at 40 to 60. And we said we expect most of that year-over-year expansion to come in the fourth quarter.